Operator: Good day, ladies and gentlemen, and welcome to the third-quarter 2013 Tenaris earnings conference call. My name is Jackie, and I will be your coordinator today. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I will now like to turn the presentation over to Mr. Giovanni Sardagna, Investor Relations Director. Please proceed.
Giovanni Sardagna: Thank you. And welcome to Tenaris 2013 third quarter results conference call. Before we start, I’d like to remind you as usual that we will be discussing forward-looking information in the call. And that our actual results may vary from those expressed or implied during the call. Factors that could affect those results include those mentioned in the company 20-F and other documents filed with the SEC. With me on the call today are Paolo Rocca, our Chairman and CEO. Guillermo Vogel, Vice President of Finance and member of our Board of Director. Edgardo Carlos, our CFO, German Cura our Managing Director of our North American operation. And Gabriel Podskubka, the Managing Director of our Eastern Hemisphere operation. Before passing over the call to Paolo for his opening remarks, I would like to briefly comment our results. As anticipated during our last conference call and at our Investor presentation in London last month, third quarter sales decreased to $2.4 billion or 9% year-on-year and 15% sequentially, principally due to the impact of project delays on line pipe shipments in Brazil, weather issues in Mexico, lower sales in the Middle East and Africa, stock adjustments in Argentina following the renewal of our long-term contract with YPF on a just-in-time basis and a seasonal impact of maintenance, stoppages in our plants in northern hemisphere. Our EBITDA reached $622 million, which was down in line with our sales. Our EBITDA margin was stable at 26%. Our earnings per ADR were down 31% year-on-year, as net income was negatively affected by a $45 million deferred income tax provision, following the introduction of a new 10% withholding tax in Argentina. Average selling prices in our Tubes operating segment were up 2% compared to the corresponding quarter of last year, and down 2% sequentially. During the quarter, our sales of high-end seamless products were at 58% of our total seamless volumes. During the quarter, cash flow from operations remained strong at $753 million enabling us to end the quarter with a net cash position of $785 million. The Board of Director approved the payment of an interim dividend of $0.13 per share or 26% per ADR to be paid at the end of this month, in line with the interim dividend paid last year. Now I will ask Paolo to say a few words before opening the call to questions.
Paolo Rocca: Thank you, Giovanni and good morning to all of you. As anticipated, this quarter, our results were affected by line pipe project delays in Brazil. And lower sale of high-end product, during prior to the seasonal effect of our plant shutdown, whereas sale of line pipe in Brazil will continue at low level in the coming quarter. Sales of premium connection product should recover strongly in the fourth quarter and going into 2014. Our order backlog for premium product is as high as it has been in the past. And full supported investment we have been making to expand the capacity of our investment system to deliver heat-treated and premium connection products. Our new premium product lining, Silcotub in Romania is in full operation, following the summer shutdown. And our Tamsa plant is increasing production of premium and other high-quality product. Demand in the Middle East and for off-shore deported projects worldwide is strong and supported by industry fundamentals. We are strengthening our competitive position in these areas with new products. As you know, we are focusing our premium connection development effort on two product line. On one side the Wedge for lean profile high-torque, high clearance application and on the other side, on the Blue series for the more demanding HPHT weld design. In October, we successfully deliver our new Wedge 623 Dopeless connection to Shell in the Gulf of Mexico. We recognize our performance with its first ever global well installed [indiscernible] quality award. In January, we will deliver our new Bluemax Dopeless connection to Maersk for a very demanding high-pressure, high temperature application requiring heavier oil pipe in the North Sea. We’re investing a substantial proportion of our R&D expenditure in these two lines of products, and on Dopeless. Recently, we have confirmed important order for high specification line pipes for using deep water project in the Gulf of Mexico like gun flames and Big Bang and in Sub-Sahara in Africa. The Middle East, Saudi Arabia and other countries in the region our intensifying effort to increase production of natural gas. These have been a major driver for increased demand for Sour Service product, where our steel grade technology are well established. This year sales of our shower service product have risen strongly and we expect that demand will continue to grow in the coming years. In North America our sale have declined over the past few quarter due to changes in product mix and a declining prices represented by the widely used Pipe Logix index. The market continue to be affected by aggressive import of less differentiated products, but this should eventually low down over time. Meanwhile, we are making progress with our new [indiscernible] for which we began site preparation and earth work in September, and recently concluded negotiation for the supply of the main equipment. We continue to develop 2013 as a transition year for Tenaris beyond the results of this particular quarter. We continue to think that in 2014 positive development in the market where we are well positioned would be reflected in renewed growth in sale and sustained margins. Well thank you and we can start taking any questions you may have.
Operator: Ladies and gentlemen, we’re ready to open up the line for your questions. (Operator Instructions) And your first question comes from the line of Bill Sanchez with Howard Weil. Please proceed.
William Sachez – Howard Weil: Yes, thank you. I wanted to ask about the EBITDA margin outlook you’re going forward. I think you guys did a commendable job of keeping margins essentially flat 3Q versus 2Q. I guess I would have expected some improvement in 4Q just given the mill up time and the absorption you’d get from that in 4Q. But could you spend a little bit of time talking about the outlook on the EBITDA margin front and why I guess given what has been discussed as a pretty robust top-line opportunity for you in some very core growth markets in 2014 versus 2013. There is not more conviction to see EBITDA margins expanding from these levels next year?
Paolo Rocca: Well thank you Bill. You’re right I think the company has done a good job in third quarter in maintaining EBITDA margin in this level. And effectively grow looking ahead, we see that the sales of high-end products will increase. At the same time we should consider also the increase in sales of low-end product, especially in North America. This is having that we are considering looking ahead in the future. So if we combine the two things, we expect our EBITDA to increase in absolute term and our EBITDA margin to be marginally higher. But we are guiding on what we say a stable level of margin. We expect probably something higher, but this will depend on how fast we can also increase some sale of low end product in North America over time.
William Sachez – Howard Weil: And I guess it is my follow-up on the North America low-end side, it maybe dovetails with expectations around the trade case and maybe, German, for you, could you perhaps update us? I know when we look at just imports from these countries as a percentage of OCTG consumption in the U.S., it's pretty significant. Maybe it's close to 30%. How do we think about 2014, the opportunities for share gains for Tenaris and how do we think about that in terms of just top line and mix-type issues? And do we at some point, we start seeing some pricing stabilization here on the lower end, as maybe imports slow down to some extent?
Paolo Rocca: Thank you, Bill. I will pass this question to German. I think that we should expect increasing our sales of low end products gradually from now on. Also following the expectation of concern in the case, but German can you pick up this question?
German Cura: Sure. Good morning everybody, good morning. Thank you, Paolo. A few highlights Bill which hopefully will help us guide the way we see. Number one, the timing of the trade case has been postponed as a result of the government shut down. Initially we were expecting a preliminary determination from DOC on potential and a lumpy margins by mid-December. And that date has been pushed into mid-February. So that’s little bit of an update on how the process goes. Now from a volume perspective, we continue to see the market, so in a very solid space of demand, drilling efficiencies in fact translating in aggregated level of operation and consumption. And we believe this is going to continue to be so, because the view is that we don’t really believe that drilling efficiency has topped off, there is still a lot of work to do. Now we remain, I said cautiously optimistic. We don’t really want to expand match about potentially what the implication of that trade may mean or may not. Naturally we are looking at a case which is give or take accounting by about 25%of the size of the upper end demand. So it is a substantial quantity and when and if the case was to go out in the industry way, it is our expectation to do the appropriate to perhaps capture an important piece of that.
William Sachez – Howard Weil: Thank you I will turn it back
Operator: And your next question comes from the line of Michael LaMotte with Guggenheim. Please proceed.
Michael LaMotte – Guggenheim Securities: Okay, thanks, and good morning, guys. German, if I could just follow up with Bill's line of questioning, on next year in North America. Could you give us a sense, excluding the trade case impact, of what you think the activity growth and drilling efficiency benefits mean, just in terms of overall volumes for Tenaris in North America next year?
Paolo Rocca: German
Michael LaMotte – Guggenheim Securities: What kind of growth we could really be looking at?
Paolo Rocca: Okay good morning, Mike. Well, excluding the potential impact of the trade case I think of your ways that we have seen green efficiency of labors of about on average 10%, 11%. This is substantially higher on the sales north of 25%. And this is naturally translating on aggregated demand. We will see that in the coming quarters. Now also very importantly and Paolo mentioned some of and in the opening remarks, Gulf of Mexico is back to pre-Macondo levels and we are expecting that to continue on. And our new Dopeless 623 is again a very important traction. We are expecting these to be a major factor during 2014. That is why we would also expect in a – an important growth going forward.
Michael LaMotte – Guggenheim Securities: So it seems reasonable – mid-teens is a reasonable starting point for volumes – mid-teens growth?
Paolo Rocca: Mike we are not disclosing particularly for competitive reason. But we have seen a gradual growth of volumes in the U.S during 2014.
Michael LaMotte – Guggenheim Securities: Okay. Paolo, if I can ask a question, following up on a comment you made in your prepared remarks concerning the backlog of premium now being at the highest level ever for Tenaris. I'm curious to know what the delivery schedule looks like. We've seen a lot of orders and a lot of different components of the oilfield services industry. But delivery timetables are anywhere from next year, 2015, 2016; stretched out. Can you give us a sense as to how much of that backlog is for 2014 delivery, and if delivery timetables are actually longer than, say, they were 12 months or 24 months ago?
Paolo Rocca: As I say Michael in the opening remark we are now working at capacity and it’s clear that we are recovering pricing power in the premium world. Our backlog is high, our let us say opening between four months to six months depending on the different range of product and to some extent region of the world. So gradually there is a build up of demand here in the premium world. This has driven as I was saying by different factor for sure the offshore is my point. But also there are premium recent application for gas, drilling. Middle East is one of the areas that is strong, but there are also other council which we demand and demand for sale. This is what we see now.
Michael LaMotte – Guggenheim Securities: Okay. And again just in terms of percentage of backlog to shift next year. Is that number 65%, 70% is that with the four to six moths order-to-delivery cycle? Or essentially will all the backlog you have and they will next year.
Paolo Rocca: No. I think you are – isn’t we should be in the range that you’ve seen. The point is that the keys, the three keys is putting summons to Trinity on which will be the final mix, let’s say looking ahead in for our sales. Now, because we should be very well prepared to serve our plan, remember that in our line of – in our production line, we are mentioning high load on our premium line. There is also high load on some of the heat treated material. We need to attend our client, we prepared to attend our client in automatic and elsewhere keeping in mind whatever could happen. So this is where we stand and is influencing what we can expect the share of our backlog in the future.
Michael LaMotte – Guggenheim Securities: Okay. Paolo, last question from me, if I could get you to comment on what is happening in Argentina at the macro level. And what you see as risks there whether it get to currency crisis and default levels and what is in ours. What the implications might be for Tenaris if we reach that kind of tread level?
Paolo Rocca: Well, you have seen in our result part of the impact of the increase stocks, pressure and physical pressure that we are feeling in Argentina. And this staffing that is there to stay. We register the impact on an increased taxes on dividend in our earnings. And this will clearly be affecting our position in Argentina also for the future. And the government is closing deficit by increasing taxes on these. Now on the other side, frankly in the development of the energy resources of Argentina, I am quite optimistic, because at the end Argentina, one has a very strong need to reduce the energy deficit looking ahead. And two, has a very important reserves and resources for doing these. It is a long-term process, but now company had it moving in doing exploration and in developing the technology that will be needed to develop a much higher rate in a much higher pace, the resources that are in place. So we are seeing increasing rates increasing drilling – drilling in Argentina is more costly than in North America. So this process is proceeding at a pace that is not today. The pace of the U.S, but is moving on. YBF, the Association of YBF, we had a company our position themselves we see increase in volume, even if in this quarter this [indiscernible] of our long-term contract there imply just in time supply to the rigs has had a very substantial impact in reducing our revenue now because we take control of inventory. And we are reducing our shipment using event but this is what I see, there will be strong development, for sure the pace not as faster. And I think that this will happen independently for political complexity of the situation in Argentina.
Michael LaMotte – Guggenheim Securities: That’s helpful. Thank you, Paolo.
Paolo Rocca: Thank you.
Operator: And your next question comes from the line of Fernando Valle with Citi. Please proceed.
Fernando Valle – Citi: Hi, guys there, congratulations on the results today, just two quick questions from me. First, thanks so much appreciate you guys to give a little bit more color on what happened on the Walbridge sales that adjust substantially quarter-over-quarter. And also what happened in the Middle East, in the third quarter and why we believe it’s going to have a substantial pick up in activity during Q4. Thank you.
Paolo Rocca: Thank you, Fernando. On the first question, well the situation in Brazil the postponement of project, especially that was still has been really affecting us substantially. This is what affected our welded sale to a very large extent. Today we went down substantially from last quarter into this quarter and we will be down. In the next quarter and at least we expect until June/September. So at the beginning we were thinking of a recovery in this maybe early on. But what we see that for different region Petrobras is postponing final definition of this project. And this had an impact and will have an impact on our revenue and on our sales. I think this is the main effect on welded side, because Fernando I don’t think that the effect in the North America has been so dramatic, there is nothing in particular. As far as the Middle East, where we could expect from the entire region of the Gulf, I would ask Gabriel to give you a view of this.
Gabriel Podskubka: Thank you Paolo, good morning Fernando. Yes, in fact to explain the drop-off sales in immediately in Q3 I think the simple explanation I think is the reduction of the production volume given the mix of purchases that we have in the Northern Hemisphere. I think what we expect end of Q4 is a recovery along with increase in production in our industrial system. We see that the rigs of Aramco are increasing as planned. Today Aramco is drilling with 160 rigs. And there is a solid plan to take this number to 230 rigs by the end of 2014. As we discussed there is a big drive over Aramco to increase the production of gas driven by local consumption and this is boosting the drilling activity in the country. So we are seeing this is happening and we expect this to be shown in the Q4 and thereafter.
Paolo Rocca: Great thank you, Gabriel. Let’s go.
Operator: And your next question comes from the line of Julien Laurent with Natixis. Please proceed.
Julien Laurent – Natixis Securities:
Paolo Rocca: For the first part of the question, I would ask you to give an idea on how we see the mix evolution in the region?
Gabriel Podskubka: Well, yes Julien for a competitive reasons we kind of disclose precise numbers about the size of the market and our market share. But what I can tell you that this is a very important market with a very much premium component, given the complexity of a drilling environment and the corrosive fluids that are given in Saudi. And we are carrying a leading market share of premium in the country.
Julien Laurent – Natixis Securities: It is fair to assume that it is the market that is much less than 500,000 tons per year?
Paolo Rocca: Yes.
Julien Laurent – Natixis Securities: And it sounds that you don’t want to took it.
Paolo Rocca: Yes, yes. This is a smaller market of 500,000 tons per year.
Julien Laurent – Natixis Securities: Okay.
Paolo Rocca: Now a question on tax rate, Ricardo you can give a view. You have seen that our tax rate has been particularly high in this quarter. But this thing has been in one shot. Because we are reducing Asia-Pacific one time provision for this. But Ricardo you can comment on what we see in the future.
Julien Laurent – Natixis Securities: Sure.
Paolo Rocca: Okay even though I mean it was a one time shot I mean in this quarter. Looking forward in 2014, I mean not only the tax law in Argentina but also the reform in Mexico we look at our tax rate basically 250, 300 basis point on the rates that we were basically going into 2013. So overall our tax rate for the next year will be in the range of 27.5% to 28%.
Julien Laurent – Natixis Securities: Good, thank you.
Paolo Rocca: Yes, thank you.
Operator: And your next question comes from the line of Phillips Santos with JPMorgan. Please proceed.
Phillips Santos – JPMorgan: Hi good morning all. The main question we have is we are trying to better understand the defects of the changing scheme of strategy and say margins, we saw highest – in the phase of seamless products, our overall you mentioned that our margins is impacted by OCTG sales, so this supporting our view I mean the sales of your seamless have been higher drive the margins and everything higher, can you put this in context for us?
Paolo Rocca: Understand well Phillips the question is how we look at the margin very briefly I would say that the lowest component with lowest margin in our portfolio are OCTG well the product especially in some of the region like North America very much exposed to heavy competition. These are the area in which we have a lower value added chain and a lower margin. Now the highest margins are the most demanding and risk prone application like the deep offshore of the HPHT. On this let’s say continuing there are all the other project depending from the complexity. This is let’s say what we can say in the case of the coming quarter it will depend our mix of high-end and low-end product. We’ll really depend on how the case against that unfairly traded import in the United States will proceed. And how also the operator will react, will anticipate the impact of this. Now these are let’s say, something that affect as far as the managing of specific product is concerned. But remember there is a general let’s say impact that depends from the overall level of price. That Pipe-Logix went down by 14% in one year. So when we look into our margin, you should consider that we had a headwind that is this general reduction of price at Pipe-Logix that our company is compensating by mix that is continually changing to more demanding product. This is what basically is derive has driven our margin in the last one year.
Phillips Santos – JPMorgan: Okay, got it. Got it. But with the result from ramping process, do you expect for the Pipe-Logix’s prices to up right? I mean their margins which will be pretty much impact?
Paolo Rocca: And what we expect that our mix as I was mentioning will change very lightly because of the increase in low end product in the U.S. is the case we consider will go on away. Now as far as the general level of price, I think this is more difficult to forecast where the price – how the price will react. The different segment anyway there is capacity in the United States installed. So it’s not easy to understand also how the determination will be in the case if every country will be considered violating trade the lows or only some of the country will be considered in violation of the trade. So I wouldn’t make any [indiscernible].
Phillips Santos – JPMorgan: Okay, okay got it. Thank you very much.
Operator: And your next question comes from the line of [indiscernible] Please proceed.
Unidentified Analyst: Yes, good morning. [Indiscernible] two quick questions, first one is on the cash flow of the fiber. Could you give us an indication of net financial position expected by year-end and in particular of the working capital preparation in Q4? And second question how much is in terms volumes at the seasonal impact of plant stoppages in Q3? Thank you.
Paolo Rocca: So as far as the cash generation is proceeding. I will ask Edgardo comment in this quarter we generate substantial amount of cash. How we will be doing in the fourth quarter?
Edgardo Carlos: Yes, you are right. I mean in the third quarter, due to the fact that I mean we have significant collection of our receivables and to where with the reduction on the achievements in the third quarter, we have in a very positive working capital that basically we will reverse on having the fourth quarter, because we had expected ramp up in shipments and of course accounts receivable. So, we are estimating that probably our net cash position for the end of the year will be a little bit lower than the ones that we have currently at the end of September.
Paolo Rocca: Yes and on the second question which has been the impact of these seasonal stoppages. This year the stoppage has been more than extended that – unusually extended let’s say, we had stoppages in from Mexico to Canada to Rumania to Italy to USA, I mean, we needed to either for maintenance, revamp capacity expansion. We had to intervene heavily on the plant. So the impact has been let’s say unusual on our season. And that part of the reason why we have lost some $400 million of invoicing, if you compare with the previous quarter. But of this just to give you an idea of these reduction in our invoicing, some 50 million or 60 million could be associated with the stock absorption in Argentina for our passing from a normal Brazilian selling into adjusting time. Some one 150 million are associated with lower line pipe sales in Brazil. And the rest you can say is depending for the constrain on capacity, additional constraining capacity that we have reducing during this quarter.
Unidentified Analyst: Very clear. Thank you.
Operator: And your next question comes from the line of Raphael Veverka with Exane. Please, proceed.
Raphael Veverka – Exane BNP Paribas: Yes, good morning. Thank you for taking my questions. Two questions, if I may. First, again, on Brazil, so, you discussed about the weakness in welded pipe and in line pipes. One of your competitors recently referred also to their order from Petrobras in OCTG. So is it also something you perceive? Is it the same magnitude as what you see in line pipes? And do you expect the same impact in the first half next year, or maybe in next year? And my second question is, if you could comment on the pricing outlook and competitive outlook in your main international markets today. Thank you very much.
Paolo Rocca: On the first question, yes, we see a reduction in OCTG demand from our point of view in Brazil, but these are not comparable to reduction in the line pipe. In the case of line pipe basically postponement of large project that was suppose to bring gas from gas and oil from offshore to the coast. So it’s a more, let’s say severe of the reduction. This project did appear and we went down substantially in our delivery of this. In the case of OCTG the reduction is of, much lower in percentage wise, so there will be lower activity, but will not be so dramatic as the reduction in the postponement of the line pipe. The second question is pricing if I understand correct is the pricing on the international market. I mean, I make some general statement that I think we are recovering pricing power for product, we have high end premium and heat-treated complex products. I would ask Gabriel to articulate, within this general situation, some additional comment on [indiscernible] or let’s say specific situation that you can see. One of this that I think is interesting is also the Indonesian safeguard that could have an impact on this, but anyway, Gabriel
Gabriel Casanova: In Asia, we also see areas of growth. You mentioned, Paolo, about Indonesia, I think, we have a very positive note in the last few weeks. Safeguard has been established in Indonesia. This will be valid for 40 years, basically for import OCTG in Indonesia, there’s going to be an imposition of a very important tariff, which in a way strengthens the position of the domestic producers like Tenaris. This in a way shows the strength that we have in our domestic market, which will – we’ll be seeing in our books 2014 and thereafter. In North Sea also we see project for deepwater, we see some frontiers as well and we see HP projects progressing. So we see a constant and fairer demand there as well. Chinese are also offering some opportunity. We are present there in many as our quarterly results show. We have an important presence in several onshore and offshore oilfields. In China, for example, we are supplying Tarim, which is a very important oilfield in the metrics in China. These are very deep wells and high pressure and require a very sophisticated tool as we are producing in the combination of a outside production and local finishing in China, we have people there as well on the field. So overall, I think the premium demand in eastern hemisphere is strong. This is reflected in our high backlog and I think is giving us pricing power looking ahead. We have pricing power there. On the API, there is a lot of competition out there in the eastern hemisphere also, so our competitors from China, from Russia, are putting pressure there. So I would say that we do not expect to have some pricing power in the low end of the spectrum let’s say yes.
Raphael Veverka – Exane BNP Paribas: Thank you very much.
Operator: And your next question comes from the line Giacomo Romeo with Macquarie. Please proceed.
Giacomo Romeo – Macquarie Capital Ltd.: Good morning and thank you for taking my question. If possible, I would like to have a bit more clarity on your expectations for revenue growth in 2014. And now that you start having a little bit more visibility and looking at what consensus is for revenue, how comfortable are you to achieve a double-digit growth implied in the market at the moment for next year?
Paolo Rocca: When we talk about revenue I think that still we do not have a visibility on the entire 2014. We see some uncertainty in the U.S. in the way the case could evolve and I feel it’s little too early to confirm or to give a view. What we can tell that we are confident, we are able to at least do maintain level of margin that we have over the future. I wouldn’t say that we have all the visibility needed to have a clear forecast of the level of revenues in 2014.
Giacomo Romeo – Macquarie Capital Ltd.: Thank you.
Operator: Ladies and gentlemen, at this time we have no further questions. (Operator Instructions)
Giovanni Sardagna: Well, if there are no further question we would like to thank you for taking part in this call and we will end the call here. Thank you.
Paolo Rocca: Thank you very much everybody. Thank you.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect and have a great day.